Operator: Welcome to the Omnicom fourth quarter 2009 earnings release conference call. (Operator Instructions) At this time I would now like to introduce you to today’s conference call host, Executive Vice President and Chief Financial Officer of Omnicom Group, Mr. Randall Weisenburger.
Randall Weisenburger: Thank you all for taking the time to listen to our fourth quarter 2009 earnings call. We hope everyone’s had a chance to review our earnings release. We’ve posted to our website both the press release and a presentation covering the information that we will present this morning. This call is also being simulcast and will archived on our website. Before we start, I’ve been asked to remind everyone to read the forward-looking statements and other information that is included on Page 1 of our investor presentation and to point out that certain of the statements made today may constitute forward-looking statements and that these statements are present expectations and actual events or results may differ materially. We’re going to begin the call with some brief remarks from John Wren, and then following John’s remarks, we’ll review our financial performance for the quarter, and then at the end, both John and I will happy to take questions.
John Wren: Good morning and thank you for joining our call this morning. Overall, fourth quarter results were in line with our expectations. Results in the quarter improved when compared to the previous three quarters but still reflect the reductions in annual advertising and marketing spending initiated by clients in the first and second quarters of last year. As economies improve, we believe the worst of the recession and its impact is behind us. While not all of our clients have finalized their budgets for 2010, we anticipate that many clients will at least modestly increase spending in the second half of this year. Turning to our performance and what we expect, we’ve always placed a premium on strong operating management and we’ve held our agency leaders to very high standards. At an operating level, we’ve challenged our agency leaders to carefully manage costs and to adjust their offerings to better meet the needs of their clients. Across the business, our agencies have effectively managed their cost structures over the past year. While continued cost control is going to be required, we feel good about our individual agencies’ ability now to focus on growing their businesses over the next 12 months. In 2009 we also did an excellent job in strengthening and improving our balance sheet and capital structure. Together with careful management, we’re now in a very strong position to deploy our capital and grow our business via investing in challenge, investing in start ups and acquisitions and utilization of our free cash flow. Over the past 12 months we continued to heavily invest in management training and development as we believe that strong managers and leaders are key strategic advantages in our business. In 2010 we’ll make additional investments by expanding many of our programs including our Omnicom University to emerging markets. In the digital space, as many of you know, we have a dual strategy of building strong capabilities inside our existing agencies and adding new specialty skill sets. First, we believe that a clear path for success in the future will be to continue to integrate these skills around our traditional businesses and make them adapt as quickly as possible to the changing media environment. Second, we plan to expand our portfolio of specialized digital properties and we should be making some targeted acquisitions and funding a few start ups as we get into the beginning of the year. Also in 2009 as I said, we enhanced our capital structure and we reduced the debt on our balance sheet. Going forward, we expect to invest our free cash differently this year back to acquisitions, an increase in dividends and a resumption of our share buy back program. As you know, we’ve always followed a very disciplined acquisition strategy. Our focus is to target companies that fill specific strategic needs and in 2010 we expect to be more aggressive than we’ve been in the last 12 months. I especially focus on the extension of our geographic portfolio as we look at opportunities around the world. You might in fourth quarter we acquired control over a long standing affiliate partner in the Middle East, Impact DBBO. Impact has 13 offices in seven countries and should enhance our offering in that region. Finally, as has been widely reported, the company ended its relationship with Chrysler. But excluding Chrysler, net new business for the quarter exceeded $900 million so our companies are performing well when given the opportunity to win new business. Before I turn it back to Randy, I just want to mention that given the severity of this recession, I’m very proud of our managers and employees and what they were able to accomplish in 2009 and I think at this point we’re poised as the market improves to grow our businesses again. With that, I’ll turn it back to Randy.
Randall Weisenburger: Thanks John. In summary, the fourth quarter was a solid finish to what I think can safely be called the toughest economic period in our firm’s history. On the whole, our agency management teams on both the client side and the operations side did an outstanding job in guiding their individual agencies through the difficulties they faced this past year. They were successful at delivering the highest quality services to their clients and at the same time managing their cost structures in a way that delivered solid results to shareholders. While the economic challenges are certainly not completely behind us, and the results of our businesses vary widely by business type and geography, over the last two quarters we’ve begun to see some optimistic signs of recovery in certain places and more widespread areas of stability. While the results overall for the quarter were ahead of our expectations, as I mentioned, the results vary widely by type of business and geography. By geography, there are basically three speeds. In the U.S. business continues to stabilize with some signs of recovery in a few industry sectors. In Europe we saw business take a further step down in the third quarter and that general trend continued into the fourth quarter. And lastly, excluding Japan, Asia and most of the emerging markets, China, India, Latin America, The Middle East and Africa all showed year over year growth. By business type, our Recruitment Marketing and Events business continued to have a difficult time and from an industry perspective, the auto category remained very difficult. These isolated areas weighed down what were otherwise relatively good overall performances in brand advertising and marketing services. Now going to the P&L; as I mentioned, our revenue performance overall was ahead of our expectation and showed sequential improvement from Q3. However, measured year over year, revenue declined 3.1% to $3.27 billion. Operating income decreased 10.9% to $399.6 million and our operating margin for the quarter was 12.2% which was in line with our expectations, and our EBITDA margin was 14.3% which was down about 75 basis points from last year and a little bit ahead of expectations. Year to date, our EBITDA and EBIT margins were down approximately 60 and 90 basis points respectively which we feel is an exceptional performance on the part of our agency management teams, especially given the rapid change in the economic environment that we all experienced from the end of 2008 through the first half of 2009. I also want to point out that we did in the fourth quarter take a pre tax charge of $33.2 million in connection with the loss of our Chrysler business. That charge consisted primarily of least costs, the write off of lease hold improvements and some severance. In addition, in the quarter, we had a net pre tax gain from several transactions that in the aggregate totaled about $32.4 million. Net interest expense for the quarter was $28.6 million which was up about $4.7 million from last year and down about $300,000 from last quarter. The increase versus Q4 of 2008 was a result of our issuance of the $500 million ten year senior note last July as well as a decrease on interest earned on our foreign balances primarily due to rates offset by lower borrowings and lower interest rates on our revolver and commercial paper facilities in 2009. Versus the third quarter of 2009, the decrease was primarily due to reduced borrowings on our short term facilities. On the tax front, our reported tax rate for the quarter was just about flat versus last year at 33.6% bringing the year to date tax rate to 34% which was up from 33.6% last year. The aggregate result was net income for the quarter declining 15.3% to $229.6 million. For the year, net income declined 20.7% to $793 million. Diluted earnings per share in the quarter declined about 16% to $0.73 bringing the year to date total to $2.53. For the quarter we had average outstanding diluted shares of about 313 million and we finished the year with outstanding diluted shares of 314 million. That’s a good number going into 2010. We have again in the first quarter of this year started to repurchase our shares and would expect to utilize our excess cash after dividends and acquisitions to continue to repurchase shares throughout the year. Analyzing our revenue performance, on a year over year basis, the U.S. dollar weakened against most other currencies. As a result, FX had a year over year effect of increasing our revenue for the quarter by $135 million or about 3.9%. For the year, even after the positive move in the quarter, FX remained negative 3.4% or $454 million. Looking ahead, if rates stay where they are, we expect FX will be positive between 3% and 4% in Q1 and flat to marginally down for the full year. Revenue from acquisitions net of dispositions was negative $25.1 million in the quarter or about seven tenths of one percent. That was driven primarily by the divestiture of our directory advertising business earlier in the year. Organic growth was stronger than expected for the quarter, declined only 6.3% or $211 million. While all of our businesses have been negatively impacted by the recession a few areas that we’ve highlighted in the last two quarters continue to be worth noting. First, the auto sector which last year was our largest sector was down about 25% organically or about $86 million. The auto sector alone accounted for about 40% of our organic revenue decline in the quarter. The Events and Sports marketing area also continued to struggle in the quarter, down almost 27% organically and our Recruitment Marketing business was down almost 70% in the quarter and about 50% for the full year. This business has been negatively affected by both the economic environment and the shift to the internet. These three areas together, while accounting for only about 16% of global Q4 revenue last year and 12.4% of our global Q4 revenue this year, they accounted for almost 70% of our organic revenue decline. As for mix of business, brand advertising accounted for 45% of our revenue and marketing services 55%. As for their respective organic growth rates, brand advertising in the quarter was down 4.8% and marketing services declined 7.4%. Breaking down marketing services revenue a little further, CRM had negative organic growth of 7.3%. However, similar to Q2 and Q3, the CRM performance was significantly impacted by our Events and Sports Marketing business. Excluding those results, organic growth for CRM was down only 4.4%. Public Relations was down 9.3% and Specialty Communications had organic revenue decline of 5.8%. Two of the larger areas in the Specialty Communications category are recruitment marketing and health care. Recruitment marketing as I mentioned was down about 70% in the quarter and about 50% for the full year. Fortunately our health care businesses have performed very well and as a result of strong new business efforts, organic revenue was marginally positive in Q4 and down only about 1% for the full year. Our geographic mix of business in the quarter was 50% U.S. and 50% international. In the U.S., revenue decline $129 million or 7.3%. Acquisitions net of dispositions reduced revenue by $22.6 million or 1.3% and organic growth was a negative 6% or about $106 million. As was the case through the first three quarters, organic revenue performance was somewhat skewed by our performance in three sectors; auto, events and recruitment. For the U.S. in Q4, these sectors contributed only 13.9% of our total revenue and accounted for 100% of our organic revenue decline. Or said another way, the other 86% of our U.S. business combined had flat organic growth in the fourth quarter. International revenue increased $23.7 million or about 1.5%. FX added $130.5 million or 8.1%. Acquisitions net of dispositions reduced revenue by $2.5 million and organic growth was a negative 6.4% or $104 million. Internationally we had relatively strong performances in the U.K., India, China, Singapore, Australia, the Middle East and Africa, Latin America and Canada. In developed Asia, Korea showed positive signs of growth for the first time in several quarters while Japan continued to be negative. With the exception of the United Kingdom, most markets across Eastern and Western Europe performed below average. Looking at revenue by industry, the auto sector represented 11% of our revenue in 2009 as compared to 14% in 2008. This reflected an overall organic decline for the sector of about 25% for the year. Health care and consumer product sectors, due to their relatively strong performances during the year, both increased their share of our revenue while the other sectors remained relatively constant. Moving on to cash flow, operating cash flow for the quarter and year to date was very strong and our overall working capital performance has continued to be very good. Our primary sources of cash, net income, stock based compensation and depreciation and amortization, totaled $1.1 billion for the year. Our primary uses of cash were dividends which totaled $187 million, capital expenditures which totaled $131 million this year versus $212 million last year, acquisitions including earn out payments totaled approximately $137 million this year versus $362 million last year, and share repurchases were only $15 million this year versus $847 million last year. As a result of the above, over the course of 2009 excluding working capital changes we reduced our overall leverage by about $650 million. As the current picture chart shows, including changes in working capital, our year end net debt position improved by about $1.3 billion down to $663 million. As a result of the reduction in our outstanding debt balances, our leverage ratio or total debt to EBITDA ratio improved to 1.4 times as of December 31 and despite the decline in EBITDA for the year, our interest coverage ratio remained exceptionally strong at 13.2 times. I should also point out that in December, we terminated a partnership we had created earlier in the year to purchase our 2031 convertible notes and those bonds will permanently retire. And finally, from a liquidity perspective, we finished the year in a strong position with cash and undrawn committed credit facilities totaling about $1.4 billion and we had additional uncommitted facilities available totaling $363 million. With that, I’m going to now open up the call for questions.
Operator: (Operator Instructions) Your first question comes from William Bird – Bank of America Merrill Lynch.
William Bird – Bank of America Merrill Lynch: I was wondering if you could talk bigger picture about what clients are saying about 2010 ad spending plans.
John Wren: It does vary industry by industry. One positive sign which we’re seeing at least domestically in the United States is the auto sector I believe is spending more money. Most likely it’s a war for market share which is going on right now and I think that war will continue well into the first half. Other industries, in general I’d have to say that clients are looking at their budgets and where there is an ROI, they’re modestly increasing those budgets as we go into this year. That’s what I’m seeing at the moment.
William Bird – Bank of America Merrill Lynch: Can you talk a little bit about how you see the year developing and I know you don’t give quarterly guidance or anything of that nature, but as you think about the shape of the year, when do you think it’s reasonable to see a return to positive organic revenue growth?
John Wren: I believe in the second half is what we’re looking at sustainable growth. The first quarter this year will be a little challenged because we’re still cycling through cuts which were initiated in the first quarter of last year. So there will be a modest challenge as we get through the first quarter. January numbers which we’ve just seen a flash of were positive and certainly indicate that we’re moving in the right direction. I think once we get into the second quarter we’ll be against easier comps and we should start to see the impact of some of these modest increases that we were just talking about.
William Bird – Bank of America Merrill Lynch: On the buy back that Randy alluded to, I was just wondering how active do you expect to be?
John Wren: There are a number of things that our Board will consider when they meet later on today. One is an increase in dividend. They certainly reauthorized us to purchase back shares, and as I mentioned, we are looking at a number of acquisitions. I can’t project how many of them we will complete. But as Randy has said many times, the use of our free cash flow is really for those three items, so if I had to prioritize them I would say that one, hopefully a dividend increase as the Board approves, two, acquisition activity and then residual free cash flow will to share purchases.
Operator: Your next question comes from Alexia Quadrani – J.P. Morgan.
Alexia Quadrani – J.P. Morgan: On the organic revenue growth in the fourth quarter that came in better than expectations, and I think you said those in budget as well, was there one particular segment that was a surprise it was on the upside or was it just a moderation of declines across the board?
John Wren: I think the general businesses in the United States were a bit better than we had expected. As I mentioned 86% of our business in the U.S. was flat so that was pretty positive results.
Alexia Quadrani – J.P. Morgan: When you look at the three areas that you highlighted being obviously very negative in the quarter, the events, the auto and the recruitment, have you seen any signs of improvement in the first quarter? I know you’ve only see January so far, but do you see those declines moderating in the first quarter?
John Wren: Auto is going to be a little bit mixed. I think we have seen a little bit of auto pick up but we lose the Chrysler business effective the end of January, so that’s another 1% of our revenue decline just with the Chrysler account. It’s kind of step up and a step down. I think we’re seeing more activity in the events sector, certainly hearing more about events picking up. Recruitment, I think the hope is we’re going to cycle our numbers here pretty soon.
Alexia Quadrani – J.P. Morgan: With the auto business, the Chrysler business that you mentioned, should we assume that everything walks out the door in January 31, or did you already see some of the business leaving impact your numbers in fourth quarter?
Randall Weisenburger: I don’t believe there was an impact in the fourth quarter. There might have been a year over year decline.
John Wren: It wasn’t a sequential change in business from Q3 to Q4.
Alexia Quadrani – J.P. Morgan: Can you comment a bit on margins and profitability? I know you have mentioned a pick up in incentive comp and actually there will be some more severance associated with Chrysler in Q1, how do you view profitability or margin improvement for this year given hopefully better revenue trends.
John Wren: I certainly think in Q1 margins with negative organic growth expected in Q1, I’d have to expect margins to be down a little bit in Q1. I think we expect margins to be flat to maybe a little bit positive for the year but it will be back end loaded as we start to see some organic growth.
Operator: Your next question comes from Daniel Salmon – BMO Capital Markets.
Daniel Salmon – BMO Capital Markets: Could you quantify your exposure to Spain, Greece, Italy and Portugal as closely as you can?
Randall Weisenburger: Yes, but not off the top of my head. I’ll have someone look for those answers while we talk and we’ll get them back to you.
Daniel Salmon – BMO Capital Markets: It looked like there was a little bit of uptick in the depreciation number this quarter and I was curious if there is a specific reason for that and if that’s a run rate going forward?
Randall Weisenburger: Some of it just off of CapEx and timing. I think $2 million of the increase is associated with Chrysler shutdown, write off of resolds in Detroit.
Daniel Salmon – BMO Capital Markets: I’d be interested to hear your general comments on working capital. It was quite positive in the fourth quarter and I know there have been a lot of efforts in that area throughout the year, but if there was anything in particular that really helped drive it in the fourth quarter I would be interested to hear.
John Wren: The fourth quarter working capital because of seasonal issues is always the better quarter. We put a very significant amount of effort. We have working capital management starting at the end of last year and really re-doubled and tripled our efforts in this space. I have to say our management teams at the network level and at the agency level have really done an outstanding job over the course of the year. I though we had historically done a good job and they proved that we could even do it better. So I’m very proud of them.
Daniel Salmon – BMO Capital Markets: When you get that troubled Europe exposure that would be great.
Randal Weisenburger: You wanted Greece, Spain and Portugal?
Daniel Salmon – BMO Capital Markets: And Italy as well. As a group is fine.
Randal Weisenburger: As soon as we get it we’ll say it.
Operator: Your next question comes from Jason Helfstein – Oppenheimer.
Jason Helfstein – Oppenheimer: As your auto play opens up post Chrysler what business is up for grabs? Maybe you want to handicap some of your chances there. And when we’ve talked to you in the past, one of our senses is that your frustration with certain clients basically having over cut or over simplified their marketing plans and at the end of the day the client is always right. I’m just wondering if we’ve started to see yet clients coming back to you saying we did over cut. We’re not ready to go there now, we don’t have the money but our plan is to get there and if that helps you feel better about the business going forward.
Randall Weisenburger: With respect to your first question, forgive me for not using this format to share with you what I’m thinking in terms of going after new auto opportunities but rest assured that we are. I can’t predict when the results will occur, but we will prosper. With respect to your second question could you repeat it for me?
Jason Helfstein – Oppenheimer: I think one of the frustrations by people in your business has been clients basically used the recession as a way to simplify their marketing spend in many cases because they had to spend less money, so if they previously divided the U.S. to five geographic areas to target, they went to two to save money. That may have not been the right business decision but they had to do that. Are you starting to see clients come back to you saying we oversimplified our marketing spend or marketing methods and while we’re not ready to go back to the way we used to market because we are not comfortable with our spending, we acknowledge that we were draconian in our cuts and we plan to spend more, basically going back somewhat to the way it was. I’m just looking for some color if you have some acknowledgement by clients that there have been some issues that they over cut spending during the panic.
Randall Weisenburger: I’ve not been party to those types of conversations. Where we’re seeing clients come back and make ad money and increases to their budgets, if we compare them on a year over year basis, it’s because they see opportunities to grow their market share. I couldn’t characterize the conversation that way.
John Wren: I think cost containment is still a pretty high priority, at least from what I’ve heard from clients.
Operator: Your next question comes from Brian Shipman – Jefferies & Co.
Brian Shipman – Jefferies & Co.: Embedded in your comments for a return to organic growth in the second half could you talk about your expectations for that metric with respect to the Euro currency and can that market come back as it has historically in the six to nine months in the U.S. market with the unique problems many of the countries are having in Europe?
John Wren: It’s hard to be specific. As Randy mentioned, it’s really three stories. You have Asia emerging markets which are growing, the U.S. which is showing some signs of recovery and in the third and the fourth quarter we saw somewhat of a step down in Europe and we haven’t seen that stabilize completely yet. We’re certainly not the economists to predict what’s going to happen in Europe. Right now it hasn’t kept pace with the recovery in the United States or the rest of the world, but there’s obviously a lot of discussion and concern about some of the markets in Europe. The U.K. was actually did very well for us in the fourth quarter so it’s not necessarily everywhere in Europe.
Operator: Your next question comes from Meggan Friedman – William Blair.
Meggan Friedman – William Blair: I have a longer term question. In the past we’ve talked about organic revenue growth of GDP plus or minus 100 basis points or more. Are there any structural changes in the industry that would prevent that from being the case going forward in the recovery?
John Wren: I don’t think so. The trends that drove that were continuing to have a shift towards digital as well as continuing fragmentation of ways of marketing and fragmentation of the consumer. Those are positive for our industry. I don’t think those are going to change.
Randall Weisenburger: I just might add that’s a long term view of growth over GDP as opposed to any particular quarter.
Operator: Your next question comes from [Tim Nolan – Macquarie]
[Tim Nolan – Macquarie]: You mentioned U.K. did very, very well and I think that’s quite surprising, if you could explain why. And secondly also in Europe I remember coming out of the last recession you were fairly late in cutting costs in Europe and I wonder what your cost effort has been, if there’s more severance yet to come in Europe.
John Wren: I think our businesses have done a pretty good job at managing their cost structures, keeping them in line as fast as possible with the changes in their business. In many parts of Europe, obviously adjusting staff levels is more expensive and more difficult than it is in the United States but I think we’ve done a fairly good job at it. As we mentioned there was a step down in business across much of Europe in the third quarter that continued in the fourth quarter so I would expect that we’re going to have more severance or more cost adjustments related to that activity unless for some reason it turned around very quickly. Thinking it’s going to turn around very quickly is probably a bit optimistic.
[Tim Nolan – Macquarie]: And the U.K., can you explain why you do so well there? And also if you could comment on France, I think you said in Q3 on your call I think you said France did very well. Could you comment on those two countries please?
John Wren: I think in Q3 France took a step down and Germany took a step down. Those were the two markets that for the first six months of the year had actually kind of outpaced Europe for us. The U.K. is a combination of some new business activity or wins that are finally hitting and in a couple of our businesses, they just had good performance.
Operator: Your next question comes from Mathew Walker – Nomura.
Mathew Walker – Nomura: I was wondering if you could give at least for the full year a percentage split of your cost of salary and R&G. The second question would be given the shape of the comparisons, why do you think that Q2 will be when you’re positive rather than Q2 because the clients will hang back to make sure that the consumer is recovering before they spend or is there any other significant reason? And the third question is on China. I wonder if you could give us your revenue exposure for China specifically and a little bit more about the good win of the business.
John Wren: I don’t have a very good memory. I know the second question was about second half versus second quarter. I think we’re going to have positive organic growth in the second quarter but that’s the question. I think we’re certainly much more confident about having positive organic growth in the second half but we’ll see how that goes. Could you repeat your other questions?
Mathew Walker – Nomura: The first one was the salary and R&G expense split and the third one was on China exposure. You obviously won a lot of awards in China. I was wondering if you could say a little bit more about the China business and say a little bit more about the win and the factors behind that.
John Wren: Our business in China has been growing at a very rapid pace from a number of levels. One; extending our relationship with clients, some multi-national clients that we service in other parts of the world and many new Chinese clients that we’re meeting as we move forward. Also, reputationally, our product, our companies has made a significant amount of progress over the course of the last two years as evidenced as you referenced to the recent digital awards in China where we swept the recognitions. Specifically, wherever we can get an opportunity to pitch our business and show and demonstrate to potential clients what our capabilities are, we’ve had a terrific track record and I think that’s reflected in some of the new business wins that you referred to.
John Wren: Going back a couple of questions ago, the question Greece, Spain Portugal and Italy, for the full year they total a little bit less than $400 million of revenue for us.
Randall Weisenburger: One comment on that, there’s many multi companies in those markets.
Operator: Your next question comes from James Dix – Wedbush Morgan Securities.
James Dix – Wedbush Morgan Securities: Thanks for the breakout on some of those headwind items that you faced in the fourth quarter. You indicated that excluding them the rest of your business in the U.S. was looking flat in the fourth quarter. Is it looking flat in the first quarter or better or worse than that? Do you think there are any particular regions geographically where you’re notably gaining or losing share and in particular in the U.S., how do you think you’re doing market share wise versus your competitors. On media spending mix, are there any particular platforms where you’re seeing particular strength or weakness in growth and is that having any particular impact on your growth or margins?
John Wren: The last one is easy. I don’t know about individual platforms and it wouldn’t have a meaningful impact on our overall performance. Our medium IM planning business is about 12% of our total revenue, so breaking out one platform within that on a global basis, it wouldn’t be enough to have a significant impact. Let me answer one question back because I just got the numbers. Our salary and service cost for 2009 was about $8.450 billion and our office and general was about $1.895 billion. Now could you repeat the couple of questions I didn’t get?
James Dix – Wedbush Morgan Securities: You broke out some specific items that were hurting your growth in the fourth quarter and you said that the rest of your business which I guess was on 86% of your business was flat in the fourth quarter. Is that trending better or worse in the first and the other question was any particular regions in the U.S. in particular where you think you’re gaining or losing share versus competitors.
John Wren: The first one, I don’t have any first quarter trend data. We barely got January revenue and we haven’t had a chance to analyze it at a depth that would tell me if there were some categories versus others. I suspect the trend is continuing. We started seeing things moving this way in the third quarter. We started seeing some of this throughout. For the last few earnings calls we’ve been trying to provide the break out of things like events and recruitment and the auto because the relative performance of those sectors was so wide relative to some of our other areas. The fourth quarter they obviously got highlighted when in the United States especially, as the U.S. has recovered, the year over year fall off in those three sectors is just over 100% of organic decline, so it is showing the wide range of performance between those and the rest of our industry sectors.
Randall Weisenburger: One bit of caution on the first quarter is we have to reference the Chrysler loss. That’s approximately 1% of our overall revenue, but it’s much more significant domestically in the United States than it is globally.
James Dix – Wedbush Morgan Securities: Anything on the share issue?
John Wren: No. I can’t think of an area where we’re not competitors. 
Operator: Your next question comes from Craig Huber – Access 342.
Craig Huber – Access 342: What was your full time equivalent employee count at the end of the year? I believe it was 68,000 at the end of 2008.
Randall Weisenburger: We’ll have someone find it if we have it. 63,000.
Craig Huber – Access 342: I don’t believe you provided this for awhile here, if you break down the revenue split out of your top thousand clients of your major categories, for full year 2009, do you have that handy?
John Wren: We actually put it in the investor presentation. There is a slide there. What percentage of our revenue is the top thousand by industry?
Craig Huber – Access 342: By industry, yes.
John Wren: By industry we have a chart. It’s Page 6. We show revenue by industry for last year and this year for the full year.
Craig Huber – Access 342: In the fourth quarter of 2008 your project related revenues were down significantly as you’ve talked about. Can you talk about how much that improved in the fourth quarter 2009?
John Wren: No, we didn’t do that calculation in that way. I think what the numbers reflect is certainly in the auto sector which Randy said there was a decline in and sports and events marketing, any projects related to those industries, we didn’t see come back at all in the fourth quarter. A lot of other clients did increase their spending in the fourth quarter where there were market share opportunities. So it wasn’t as severe as it was fourth quarter last year, but it wasn’t back to what it was prior to that.
Craig Huber – Access 342: You have roughly $600 million on cash in the third quarter, about $1.6 million or so end of the fourth quarter for seasonal reasons, do you generally think roughly $300 million to $350 million of that cash is your own cash to do what you want with, the rest is sort of clients?
John Wren: I don’t view it that way. It’s our cash. It’s the swings in working capital. I wouldn’t necessarily want to take that cash and go out and buy something and not have available lines of credit to replenish it. We need that available working capital in the system. I think the $300 million maybe you’re talking about it cash that needs to be in the banks. It’s cash in lock boxes and cash in transition pretty much all the time.
Operator: Your next question comes from Peter Stabler – Credit Suisse.
Peter Stabler – Credit Suisse: Could you comment a little bit on the expense line? O&G is down substantially versus ’08. Could you provide a little color on how durable those cuts are and are we going to see pressure on O&G expense in 2010 and what specific areas that might be?
John Wren: I think our companies did an outstanding job of managing their costs. Travel is down. People cut Christmas parties, cut network conferences. They managed their costs very actively this past year. On a long term basis it’s not realistic that those costs remain at those low of a levels. By the same token, the other item in this is real estate costs. That takes longer to adjust. So those items are probably up on an organic basis year over year because they take some time to manage, but they will come down over time. We will be able to adjust our infrastructure costs to be in line with our revenues and in line with our head count. You just can’t do them quite as fast. So while those costs are coming down, some of these other costs will work their way back into the system.
Peter Stabler – Credit Suisse: So if you look at O&G as a percentage of total revenue and look back a couple years to let’s say ’06, ’07 would you expect that a couple years out from here that you’d kind of drift back to that level or was there some level of step change savings that you found fundamentally that could change and bring that number lower going forward.
John Wren: The number as a percentage of revenue is actually up year over year so while the number is down, it obviously hasn’t moved down as much as our revenue moved down. Again, in that line item, some of the things that are managed, I think our people have done an extremely good job at managing. Some areas are difficult to manage on a short term basis. We had a very rapid change in the economy and the revenue so while people can adjust head count in some places very quickly and they can try to manage these managed costs, we can’t exit real estate. We can’t exit computer licenses and office furniture and those sorts of things that quickly. But over time, they will adjust. Leases will roll off and computer licenses and things if we don’t need them, they’ll expire and we won’t renew them. But it takes a couple of years to get those in line. So I think as a percentage, office and general expense last year I think it was about 15.8% of revenue and this year it’s about 16.2% of revenue. I would think we’ll get them back more in line with last year. It probably takes us another year or two I would suspect.
Operator: Do the presenters have any closing comments?